Operator: Good afternoon. My name is Austin and I will be your conference operator today. At this time, I would like to welcome everyone to the Viad Corp. Third Quarter 2022 Earnings Conference Call. [Operator Instructions] Thank you. Carrie Long, you may now begin your presentation.
Carrie Long: Good afternoon and thank you for joining us for Viad’s 2022 third quarter earnings conference call. We issued our earnings press release today after market closed, along with our earnings presentation, which are both available on our website at viad.com. We will be referencing specific pages from the presentation during the call as we discuss our business performance and outlook. I also want to point out that our earnings press release and presentation contain important disclosures regarding non-GAAP measures that we’ll be referring to during the call, including adjusted EBITDA. During the call you’ll hear from Steve Moster, our President and CEO and President of GES; and Ellen Ingersoll, our Chief financial Officer. As we announced earlier this month, Pursuit’s President David Barry, who typically joins these calls is currently out on medical leave following a successful surgical procedure. Before turning the call over to Steve, I want to remind everyone that certain statements made during the call, which are not historical facts, may constitute forward-looking statements. Information concerning business and other risk factors that could cause actual results to materially differ from those in the forward looking statements can be found in our Annual, Quarterly and other current reports filed with the SEC. And with that, I’ll turn it over to Steve.
Steve Moster: Good afternoon and thank you for joining us. To start the call, I’d like to thank our team members around the world for their continued dedication and efforts, which are reflected in the results for the third quarter. Starting on Page 4 of our earnings presentation, I want to touch on three highlights about the quarter that we’ll expand upon during this call. First, our consolidated third quarter results were significantly ahead of 2021 and in line with our prior guidance, both businesses performed well in the quarter. And net income attributable to Viad nearly tripled year-over-year as our actions to scale Pursuit transformed GES Exhibitions’ cost structure, and strengthen Spiro’s capabilities accelerated our growth. Second Pursuit delivered another quarter of record revenue. The Pursuit team continued to drive growth from our new experiences and we saw a strong but not full recovery of same-store attraction visitors during the quarter as international leisure travel strengthened and COVID restrictions diminished. And third, GES delivered strong growth with solid execution. We continued to see a healthy recovery towards 2019 levels of trade show revenue and corporate client spending. And we drove improved profitability versus 2019 as a result of our improved cost structure. And now, I’d like to turn the call over to Ellen to discuss our third quarter financial performance in more detail. Ellen?
Ellen Ingersoll: Thanks, Steve. As shown on Page 6, we delivered consolidated revenue of $382.7 million during the third quarter. This is up 64% or $149 million year-over-year, driven by 39% growth at Pursuit and 89% growth at GES. Net income attributable to Viad was $40.1 million up from $15.1 million in the 2021 third quarter. And our consolidated adjusted EBITDA of $82 million increased 57% or $29.7 million year-over-year and surpassed the level we achieved in the third quarter of 2019. GES adjusted EBITDA of $10.7 million, increased $14.9 million year-over-year and was near the high end of our prior guidance range as we continued to see strengthening of live event activity and great execution by the GES team. Pursuit adjusted EBITDA of $75.1 million, increased $15.5 million year-over-year and was near the low end of our prior guidance range, primarily due to external factors that hampered visitation to certain properties. Our Jasper-based hotels and attractions saw a temporary drop off in September after a nearby fire damaged power lines and the town lost power. We also experienced supply chain challenges that delay both the opening of our Forest Park Hotel and a new mountain coaster that we anticipated would help draw increased visitation to our Golden Skybridge attraction. Turning to Pursuit’s year-over-year performance on Page 7. Third quarter revenue of $163.8 million grew $46.2 million. A $11.4 million of that growth came from new experiences that we opened or acquired during 2021 or 2022, which includes the Forest Park Hotel, Glacier Raft Company, FlyOver Las Vegas, Golden Skybridge and Sky Lagoon. The remaining growth of $34.9 million was largely the result of stronger visitation at our Canadian experiences from reduced COVID restrictions and continued strike that our U.S. experiences as well as our efforts to refresh existing properties and maximize revenue. Pursuit’s overall adjusted EBITDA was $75.1 million for the third quarter. This is up $15.5 million compared to the prior year, primarily due to revenue growth, partially offset by enhanced staffing levels to support the return of consumer demand and our new experiences. Additionally, Pursuit’s 2021 third quarter adjusted EBITDA included a $4.3 million Canadian wage subsidy benefit that did not repeat this quarter. Pursuit delivered an overall adjusted EBITDA margin of nearly 46% for the quarter with strong margin performance at both new experiences and on the same-store basis. Pursuit margins remain below historical pre-pandemic levels primarily due to our mix of revenue. Steve will elaborate more on that as he reviews Pursuit’s performance shortly. Now switching over to GES’ third quarter results on Page 8. GES delivered total revenue of $218.9 million. Spiro revenue grew 93.5% or $35.4 million and GES Exhibitions revenue grew 82% or $66.7 million. This strong growth reflects continued improvement in a live event activity as well as what we call, favorable show rotation from large non-annual events that took place during the third quarter. Overall, the net positive impact on large non-annual events on GES’ third quarter revenue versus 2021 was approximately $30 million, including about $7 million for Spiro and $23 million for GES Exhibitions. The remaining revenue growth at Spiro and Exhibitions was primarily driven by strong recovery of the industry. As compared to Q3 2021, GES’ consolidated adjusted EBITDA of $10.7 million, improved $14.9 million on a revenue increase of $102.9 million. This flow through of approximately 14% is below our annual target of 20% plus, as we have made intentional adjustments to our staffing levels to support the increased business activity we are experiencing. We remain on track to achieve full year flow through of about 20% on the year-over-year revenue growth. And as Steve mentioned in his opening remarks, GES drove a significant increase in profitability versus the 2019 third quarter when we had negative adjusted EBITDA of $2.8 million on a similar level of revenue. This is a clear indication that our improved cost structure is driving value. Next, I’ll quickly cover some balance sheet and cash flow items before turning the call back to Steve. We ended the third quarter with total liquidity of approximately $166 million, comprising $79 million in cash and $87 million of capacity available on our revolving credit facility. Our cash flow from operations during the quarter was an inflow of approximately $61 million. Our capital expenditures totaled about $23 million for the quarter and were mainly at Pursuit including growth CapEx for the Forest Park Hotel, the mountain coaster at Golden Skybridge and FlyOver, Chicago. At September 30, our debt totaled approximately $479 million, including $397 million on our term loan B, financing obligations of approximately $60 million, a $10 million construction loan to help fund the development of the Forest Park Hotel and other debt of approximately $12 million. Additional details can be found in the appendix of our earnings presentation. And now I’ll turn the call back to Steve to provide some business highlights for Pursuit and GES.
Steve Moster: Thanks, Ellen. I’ll start with Pursuit where our 3,800 seasonal and year round team members delivered record quarterly revenue and strong quarterly EBITDA along with healthy improvements in our attraction, visitation and lodging performance metrics. Page 10 of our earnings presentation helps to illustrate how our ongoing commitment to our Refresh, Build, Buy strategy is driving Pursuit’s strong revenue growth. From 2019 through today, we have opened or acquired 11 new experiences at Pursuit that collectively delivered $38.5 million in revenue during the 2022 third quarter. Many of these new experiences are still early in their growth journey and we expect they will continue to drive meaningful revenue growth with improved margin in the future. Additionally, we’ve been successful driving revenue growth from existing experiences that were part of Pursuit prior to 2019, even in the face of continued pandemic headwinds as global leisure travel continues its multiyear recovery. In 2021, we saw essentially a full recovery of our U.S.-based experiences on strong domestic leisure travel and with reduced restrictions affecting travel to Canada in 2022, we are capitalizing on a strong but not yet full recovery across our Canadian experiences this year. On a same-store basis, Pursuit grew third quarter revenue by 3% versus 2019 through a relentless focus on elevating the guest experience and maximizing revenue wherever possible. As I’ll expand upon shortly, our overall same-store attraction ticket revenue continues to lag in the recovery as some attractions have traditionally seen high volumes from long haul international visitors. Through a persistent focus on growth, the team at Pursuit has grown same-store revenue through other categories like lodging room revenue, retail and food and beverage. These categories offer good margins, but not as strong as the very high margins that incremental same-store attraction ticket revenue would bring. On Page 11, you’ll see highlights from our attractions performance during the quarter. Third quarter ticket revenue grew by approximately 54% as compared to 2021 and by 25% compared to 2019. We welcomed about 1.5 million third quarter attraction visitors as compared to about 936,000 in 2021 and about 1.3 million in 2019. On a same-store basis, excluding those attractions that we opened or acquired in 2019 or later, attractions visitors increased nearly 50% year-over-year, but remain 15% below our 2019 levels. Certain attractions were near or above 2019, including our lake cruises in Banff and Jasper, which saw strong consumer direct bookings and an increased level of travel partner itinerary inclusions, and our Banff Gondola, which remains the number one rated attraction in Banff. We’re also very pleased to report that our two attractions at the Columbia Icefield, which have been some of the most impacted by disruption to long haul international travel trade visitation, saw visitors more than double from the prior year. We expect to see continued recovery here in 2023. The six new attractions that we’ve opened or acquired from 2019 forward welcomed approximately 367,000 visitors during the third quarter. These new attractions continue to gain momentum and received very strong guest reviews. We continue to make solid gains building awareness for our FlyOver Las Vegas attraction and securing important partnerships with marketing channels and distribution networks. And I’m pleased to report that following the second quarter visitation increase of 13% over the first quarter, third quarter visitation at FlyOver Las Vegas grew another 17% from the second quarter. Our two attractions in Iceland, the Sky Lagoon and FlyOver Iceland, both posted very strong sequential quarter and year-over-year growth in guest visitations. By the end of the summer, overall visitation into the country had reached 2019 levels. That combined with our solid capture rate of international guest bodes well for continued strong performance from Sky Lagoon and FlyOver Iceland. The Golden Skybridge delivered solid results in its second year of operation with third quarter revenue increasing 25% year-over-year. As Ellen mentioned, we’ve been working on an addition of a mountain coaster to drive further growth from this amazing attraction. With construction now complete, we look forward to having that online when the Golden Skybridge reopens for the 2023 season. The Glacier Raft Company, which we acquired earlier this year, delivered meaningful third quarter revenue and EBITDA in its first summer as part of Pursuit. And finally, our new open top touring attraction in Banff continued to delight guests with stronger year-over-year visitors. We’re encouraged by the momentum we’re seeing and proud of the experiences we’ve added. Our work isn’t done and our plans for the fourth quarter and for 2023 remain focused on strategies for realizing the full visitation potential at our world class attractions. Now let’s discuss the results of lodging properties, which we reference on Page 12 of our earnings presentation. Third quarter room revenue grew by 20% as compared to 2021 and 11% compared to 2019. The year-over-year growth was largely due to stronger occupancy, particularly at our Canadian properties. And the growth from 2019 was due largely to higher average daily rates as we remain very focused on elevating the guest experience at each property. In Montana, our hospitality teams again delivered record room revenue with strong occupancy and increased ADR at our Glacier Park properties. Rooms revenue from our Alaska Hotel was also higher than 2019, which is especially impressive given that land access to our Denali Backcountry Lodge was cut off due to the closure of the Denali Park Road for road repairs. Our team risked the challenge and pivoted to launch a one of a kind remote Backcountry stay experience complete with a 35 minute scenic helicopter transfer into the heart of the Denali Wilderness. In Jasper, we couldn’t be prouder of how our teams on the ground responded to the challenges created by the Chatham wildfire, which damaged critical power infrastructure, disrupted operations over a two week period and prompted Jasper National Park officials to recommend that guests traveling to the Jasper area make other plans. The team worked hard to rebook guests, redirect them to our Banff based properties and manage arrangements with key travel partners. Thankfully, the situation recovered quickly and although occupancy was lower, our Jasper properties were still able to realize an 11% increase in third quarter rooms revenue as compared to 2019. With our seasonal operations in Montana and Alaska now closed for 2022, we’re poised for a strong finish in our year round operations. Fourth quarter lodging pacing for our hotel properties in Banff and Jasper remain very strong. Our year round attractions also have positive momentum heading into the fourth quarter. For the full year, we continue to expect 2022 attraction visitors to nearly double the 1.5 million visitors we hosted during 2021. This will put our total attraction visitors above 2019, but it still does not reflect the full potential of these economic engines that offer very strong margins on incremental visitors. We continue to see upside in 2023 and beyond as international long haul visitation returns to its pre-pandemic level. International travel recovery combined with the continued acceleration of our recent investments and our never ending focus on revenue maximization at existing assets and experiences paints an exciting picture of growth into the future. I’m very proud of Pursuit’s performance during the 2022 peak season, and I’m grateful for our teams and leaders who bring their best every day to connect guests and staff to iconic places through unforgettable and inspiring experiences. Now let me switch gears and discuss GES’ third quarter performance. As shown on Page 14, both GES Exhibitions and Spiro performed very well during the quarter with revenue significantly up year-over-year and in line with the 2019 third quarter. In addition to delivering strong top line results, GES also drove a substantial increase in profitability with an adjusted EBITDA improvement of $13.5 million compared to 2019 on similar revenue. I’m very proud of the entire GES team for delivering such strong results. First, I’d like to discuss our GES Exhibition business, which provides trade show services to leading organizers in North America, Europe and the United Arab Emirates. Like last quarter, trade shows continue to recover to their 2019 revenue level and the lower cost structure that was put in place during the pandemic drove increased profitability. On a same-show basis, revenue from our U.S. exhibitions was 91% of its 2019 level for the third quarter, as shown on Page 15, up slightly from 87% in the second quarter of 2022 and in line with our expectations. We continue to see significant variability in the speed of recovery across the individual trade shows, but the overall recovery trend is clear. This quarter marks the fifth consecutive quarter of increasing same-show growth in the U.S. since the recovery started over one year ago. GES Exhibitions’ third quarter results of $147.9 million in revenue and $6 million in EBITDA illustrates the improved profitability of the GES Exhibition business compared to prior years. The third quarter EBITDA of $6 million is significantly higher compared to the loss of $5.5 million in EBITDA in the third quarter of 2019 on similar revenue. During 2022, the team has managed to improve overall EBITDA margins relative to 2019 despite lower revenue. Through the third quarter, GES exhibition’s EBITDA margin was 6.6% versus 5.9% in 2019 with about $150 million less in revenue. Additionally, as shown on Page 16, the year to date flow through to EBITDA on incremental exhibition revenue over 2021 continues to be strong at 21%. Over the past two quarters, GES Exhibitions has focused on selectively recruiting and hiring talented individuals to rebuild our business and service our clients trade shows in the quarter and beyond. At the end of the third quarter, the business was close to our targeted run rate head count, which remained significantly below our 2019 head count. The annualized third quarter level of exhibition SG&A is about 25% below our 2019 SG&A level. Despite the lower SG&A level, the GES Exhibition business continues to face headwinds of increased direct costs and limited availability of specialized equipment in 2022. During the third quarter, we saw elevated costs for direct labor and specialized equipment of approximately 5% to 7% compared to 2019. These increased costs were partially offset by increased pricing to our clients and improved efficiency. Now I’d like to turn our attention to Spiro, our experiential marketing agency, which serves as the agency of record for Fortune 1000 corporate clients. Spiro specializes in results based experiences. We activate, grow and evolve brands. Last quarter, I described how our relationship with JPMorgan has evolved with Spiro’s new capabilities and our delivery of their new experience called the Connected Car experience across the U.S. and Europe. Today I want to share another great example of our Spiro team. During the third quarter, Spiro worked with our client advisory circle to create what’s been dubbed the world’s first Wealth Festival Future Proof. This event, which took place on the stands in Huntington Beach, set out to redefine the traditional finance conference, spaces that were used for speaker sessions during the day were transformed into stages for musical acts at night to offer a compelling combination of education, networking and entertainment. The event generated a lot of interest with over 2000 financial advisors, investors and fintech professionals in attendance and great news coverage by the Los Angeles Times. During the third quarter, Spiro delivered results of $73.3 million in revenue and $4.7 million in EBITDA as client spending relative to 2019 remain strong. On a same-client basis, revenue in the quarter from Spiro’s clients was approximately 90% of their 2019 third quarter spend. This is similar to the client spending level in the second quarter and in line with our expectations. Spiro continues to benefit from a favorable client mix, primarily focus in pharmaceutical, industrial and defense industries. I want to thank both the GES Exhibition and Spiro teams for their efforts in delivering another solid quarter. As we move into the fourth quarter, we expect to see solid demand at GES Exhibitions and Spiro as the recovery trends continue. Same-show growth and client spending should be similar to the 2022 third quarter level. Despite economic headwinds of rising inflation and slowing GDP, we have not seen any impact on trade show participation or corporate client spending or budgets. Our new cost structure will allow us to react quickly if we see signs of a broader economic slowdown. And with that, I’ll turn the call over to Ellen to provide some more detail on our financials. Ellen?
Ellen Ingersoll: Thanks, Steve. With much of the year successfully behind us, we’ve tightened our full year adjusted EBITDA ranges for Pursuit and GES. As shown on Page 18, we expect Pursuit’s adjusted EBITDA for the 2022 full year to be in the range of $70 million to $74 million as compared to our prior guidance range of $70 million to $80 million. The reduction in the top end of the range primarily reflects Pursuit’s third quarter performance. For the seasonally slow fourth quarter, we expect Pursuit’s adjusted EBITDA loss to be in the range of $9 million to $5 million. The expected improvement relative to the 2021 fourth quarter primarily reflects our expectation for higher same-store revenue in Canada and year-over-year growth from our new year round experiences. Now, turning to GES on Page 19. We expect GES’ adjusted EBITDA for the 2022 full year to be in the range of $54 million to $60 million as compared to our prior guidance of $50 million to $60 million. The improvement in the bottom end of the range primarily reflects GES’ third quarter performance. For the fourth quarter, we expect GES’ adjusted EBITDA to be in the range of $6 million to $11 million as compared to $9.6 million in the 2021 fourth quarter. We expect to deliver higher year-over-year revenue with continued strength in same-show revenue and spending by major Spiro clients. We expect the benefit of higher revenue will be partially offset by higher performance based incentives and some non-recurring benefits that we realized in the prior year. I’d also like to quickly touch on some changes to the GES business that are affecting comparisons to the fourth quarter of 2019. While we expect exhibition, same-show revenues and Spiro client spending at about 90% of pre-pandemic levels, we anticipate GES’ overall fourth quarter revenue will be about 30% lower than the $279 million delivered in the 2019 quarter. This reflects the reduction in revenue from lower margin business that we exited over the past few years in connection with our efforts to improve GES’ overall margin profile on a full year basis, partially offset by new client wins at Spiro. Now onto cash flow outlook. For the full year, we currently expect an operating cash inflow of $85 million to $90 million with a fourth quarter outflow in the range of $20 million. We expect full year capital expenditures of approximately $80 million, including about $25 million in the fourth quarter. This level of CapEx reflects our commitment to Pursuit’s Refresh, Build, Buy growth strategy with growth CapEx for key projects, including FlyOver Chicago, the new mountain coaster at the Golden Skybridge, and completion of the new Forest Park Hotel. And now I’ll turn the call back over to Steve for some concluding remarks.
Steve Moster: Thanks, Ellen. I’m very proud of what we’ve accomplished in a very dynamic operating environment. Our teams have done an excellent job responding to the rapid acceleration of business activity this year to deliver great service and strong improvement in profitability. We’re well positioned for continued growth on both sides of the business, new world class experiences at Pursuit and a stronger, more profitable GES. We remain committed to our strategy to create extraordinary experiences and strong returns for our shareholders. For Pursuit, we continue to selectively invest in high return growth opportunities to advance our proven Refresh, Build, Buy strategy. For GES, we will build on the progress we’ve made to date to improve the margin profile and resume generating strong cash flow through our more flexible cost structure and focused on higher margin clients and services. I want to thank our hardworking dedicated employees and our shareholders for your continued support in Viad. And with that, I’d like to open up the call for questions.
Operator: [Operator Instructions] Our first question is with Tyler Batory from Oppenheimer. Tyler, your line is open. Tyler, you may proceed. Tyler, you may proceed. Our next question will be from Bryan Maher from B. Riley. Brian, your line is open.
Bryan Maher: Thank you and good evening. Maybe I’ll get some of the questions that Tyler was going to ask. Thank you for all those comments. Really appreciate the PowerPoint deck that goes with your earnings. It’s very helpful. But question on margins. Are you anticipating any changes relative to your thoughts just a quarter or two ago when it comes to GES margins and Pursuit relative to what we’re seeing with inflationary pressures and ongoing pressure from wages and labor that we’re hearing from most of our covered companies?
Steve Moster: [Technical Difficulty] and higher labor costs that comes across in some of the raw materials for our products and services. I think though, the teams have both done – both at Pursuit and at GES, have done a good job of offsetting that either completely or mostly offsetting that through pricing and through efficiency more on the GES side. And so, as we look forward, these are clearly headwinds, but we are confident in our ability to continue doing what we’ve done this year so far against the same type of headwinds. And we still believe those targets that we’ve set out are achievable.
Bryan Maher: Okay. And then as it relates to the long haul international travel coming back in 2023. Do you expect that to come back at a pretty robust pace matching pre-pandemic levels? Or are you expecting that to kind of layer on and ramp over the course of a year or two or three?
Steve Moster: It’s clearly part of our attention. Our focus is trying to understand how quickly that’ll recover. We do think there’ll be some recovery in 2023. But there are still certain countries that have COVID restrictions on them for travel. So we think it is a multiyear return to the same levels that we had pre-pandemic, but we do see improvement in 2023 and beyond.
Bryan Maher: Okay. And then just two more for me. On the exhibitions front in GES, are you seeing any change in the mix of exhibitors or industries that are coming back strongly versus pre-pandemic kind of a change in who you’re dealing with? Or is it mostly the same type of customers you dealt with before?
Steve Moster: First off, if we just think about the quarter, we were – the annual events were roughly 91% of what they were in 2019. So it’s had a pretty strong recovery, although there’s a tremendous amount of variability in how quickly some of the events come back. Meaning, some of the events in the third quarter were well above their 2019 levels and others were significantly below. So we’re still seeing a fair amount of variability. In terms of the exhibitors and/or the attendees, they look very similar to the ones that we had pre-pandemic. These are large corporations that rely on this face to face marketing channel in order to reach their customer. I would say the one change we’ve seen this year versus say 2019 is obviously the level of international exhibitors and international attendees has come down versus 2019 levels. And we expect, as we roll into 2023 that we’ll see some of those international exhibitors and attendees start showing up on some of the events.
Bryan Maher: Okay. And then just last for me. What is the timeline on FlyOver Chicago? And is there any update on Toronto? I believe you were going to have a FlyOver in Toronto. And has your experience in Las Vegas ramping that property kind of changed your appetite for more or less flyovers and the timing to develop this? And that’s all for me.
Steve Moster: Sure, Bryan, I’ll talk about the timing first and then we’ll talk a little bit about our interest in FlyOver. So first off, Chicago will open in early 2024 and FlyOver Toronto is also in 2024. With the pandemic impacting, it has had an impact on the speed of permitting. We’re working with Canada Lands and the city to get FlyOver Toronto approved so that we can start construction. It’s been delayed because of the pandemic, but we feel that we are making progress. And 2024 is still our target – our target opening. FlyOver Chicago, we’re moving along quite well. We are already starting into construction. And we’re well on our way and can see a finish line for that one in early 2024. To your point about FlyOver Las Vegas, we remain committed to the concept of flying theatres, very high margin experiences. Obviously requires volume to create that high margin environment. But these are unique assets that create an unforgettable experience and they get very strong reviews from the visitors that have been on FlyOver. So we remain committed to it and that’s kind of the rough timeline that we have for Chicago and Toronto.
Bryan Maher: Great. Thanks. That’s all for me, and hopefully Tyler can reconnect.
Steve Moster: All right. Thanks, Bryan.
Operator: Our next question is with Tyler Batory from Oppenheimer. Tyler, your line is open.
Tyler Batory: Great. Thank you. Good afternoon. Apologies for the technical difficulties earlier. Hopefully Bryan didn’t take all the questions I was going to ask. The first one for me, just in terms of the Spiro side of things, you talked about 80% compared with pre-pandemic levels. I’m kind of interested the delta there, the 80% versus hopefully getting to 100%. I mean, is that maybe just a little conservatism on your parts, the corporate clients maybe a little bit hesitant to spend given the macro backdrop. Just trying to get a sense of how you can close the gap and hopefully get above where you were pre-pandemic in that business.
Steve Moster: Yes. And Tyler, I feel pretty strong about corporate client spending going into the fourth quarter and into 2023. This spend in the quarter was roughly 90% of what they had spent in 2019. We continue to see strength very similar to the exhibition side. There’s variability. Some clients were above their 2019 levels, other ones were below. So I think that having the markets open, the borders open and more travel, which we’ve seen come back over the course of 2022, I think bodes well as we get to 2023 to continue to improve that client spend versus 2019.
Tyler Batory: Okay. And in terms of the margin performance at GES, been quite strong, nice to see the progress there. I mean, you called out I think some items that were a drag on margin, which is trying to offset those with pricing and efficiencies. Did those two categories evenly balance themselves out in the quarter? Was there a little bit extra drag on margin from I think you called out the equipment and then some incremental direct cost as well?
Steve Moster: Yes. For the quarter specifically, there is – some of the events that we did in the third quarter required more unique equipment than the traditional trade show would. And so those increased costs did create a little bit of a drag on a couple events. But I feel like we’ve really made significant headway in terms of our overall cost structure and we continue to find ways to offset cost increase either through pricing or as efficiency as you had mentioned.
Tyler Batory: Okay, great. And then just last question on the GES segment. I’m trying to remember, I think we had talked about this in the past. But just remind us, how that business performed? The last time we had a recession 2008-2009 timeframe. And then perhaps help us think about how much better positions you would be this time around if the economic environment were to deteriorate significantly from where it is right now?
Steve Moster: Yes. So as a reminder Tyler, from 2008 to 2009 due to the economic environment, we saw a reduction of revenue of about 20%. If I remember correctly, in 2009 we did finish the year positive EBITDA for the year. But think about where we are now versus where we were back at that timeframe. Our cost structure is significantly lower than what it was in that 2008-2009 timeframe. If you think about just our – really our revenue versus that period of time, we’re substantially down versus that period of time, but yet our margins are recovering healthy and there’s upside. So I look at it this way, there’s the – we’re still not back to 2019 levels. There is still a recovery taking place. There’s strong demand, as we’ve shown over the last couple quarters as that same-show growth metric has continued to climb. I think there’s pent-up demand and we continue to execute more lean initiatives across the organization that will help us in the event that there’s some level of downturn. And I would also say that 2008, 2009 downturn was pretty historic. I don’t see people anticipating that level of decline going forward. So I think we’ll weather it well based on the actions that we took over the last 2.5 years.
Tyler Batory: Okay, Great. Very helpful. Switching gears to the Pursuit side of things. Some encouraging numbers you’ve provided in terms of the progression sequentially with visitation at FlyOver Las Vegas. Are you getting pretty close to ideally where you would like to be in terms of visitation and also profitability at that property? Or maybe still early innings in terms of ramping that up?
Steve Moster: I would say it’s still early innings. I mean, what I would say is that we have seen growth in terms of the visitation to FlyOver Las Vegas sequentially over the last couple quarters. We’re happy to see that. A lot of the initiatives and efforts that we’ve put into place are really starting to take hold. And we anticipate that continuing as we go into 2023. So I would classify it as early innings, but a strong asset with good reviews and I think we have our finger on the right initiatives to move the needle going into 2023.
Tyler Batory: Okay. And I think the last question for me with respect to Pursuit here. The long haul group visitation, hot topic of conversation, you’ve talked about that. I mean, I know a chunk of that is related to Asia, a big chunk of that is really what’s going on in China. Who knows if those guests are going to be able to travel next year or not? In a scenario where they are not coming next year, just help us think maybe at a high level, perhaps what Pursuit might look like next year. You think you have some additional levers that you can pull to maybe help you offset some of the potential missing visitation there?
Steve Moster: Yes. And you hit on the right point. I mean, the Asia Pacific is where a portion of our long haul visitors come from. It is unclear if all of those countries will be open up for travel in 2023 or not. But you see a tremendous amount of strength and we anticipate seeing strength in the U.S. visitation to Canada based on FX. If you look back historically as FX has favored the U.S. dollar visitation to our Canadian properties has always been strong. We’re also super proud about the 11 new experiences that we’ve launched since 2019. They’re in their early journey or early ramp, and we continue to see or believe that their strength in those new experiences as we go into 2023 and beyond. And then I got to hand it to our RevMAX team they not only within the quarter, but just over the last couple years have done a phenomenal job of pricing our experiences appropriately as we continue to elevate those experiences. And so that’s why when you look at our results for the quarter strong RevPAR numbers relative to last year and 2019, same on the attraction side. So I think there’s – I guess one last headwind I would also mention that sometimes gets overlooked. The Canadian government just eliminated their random COVID testing to enter the country on October 1st, I believe it was. So there was some level of headwind within the quarter based on that still being in place. And with that eliminated now, we believe that’s also a tailwind that will help us as we go into 2023, if that long haul visitor isn’t able to come to our properties.
Tyler Batory: Okay. Great. That’s all for me. Thank you for the detail.
Steve Moster: Yes. Thanks, Tyler.
Operator: Our next question is with Kartik Mehta from Northcoast. Kartik, your line is open.
Kartik Mehta: Thank you. Steve, I wanted to ask you a little about GES business. And just thoughts on, as you’ve talked to your clients, what they’re thinking about 2023, if there’s been any caution in their outlook? Or you anticipate any? I know it’s early, but just from a budget standpoint what the early indications are?
Steve Moster: Kartik, I haven’t seen any indication of a slowdown. I’ll talk a little bit about the trade show side and then the corporate client side. So on the exhibition side a lot of the exhibitors will sign up for space a full year in advance of the event. And we haven’t seen any hesitation or reduction in terms of participation at these trade shows going into 2023. So at the moment, I don’t see anything. And then with conversations with our corporate clients that are doing not only marketing experiences at trade shows, but also other kind of face to face experiential marketing. We are seeing strong budgets. Our strength within Spiro clients is really around pharmaceutical, defense and industrial companies, which I think has really helped during this period and I think will help also as we go forward into 2023. So not to say that this business is immune from recession, but right now we’re not seeing any signs of a slowdown there’s still a recovery taking place. And you see that as our same-show growth number continues to climb from quarter-to-quarter.
Kartik Mehta: And Steve, just on the Pursuit side, this year what would you say your capacity was at your hotels and attractions? Just trying to figure out, because of the labor issues, if you were constrained at all from utilization, and if that changes in 2023, maybe that provides another opportunity or tailwind for the business next year.
Steve Moster: Yes, if you look – Kartik, if you look at the Q3 data that was in the presentation. You’ll see that from a lodging perspective, we were at 85% occupancy, 10 points higher than 2021, a little bit down from 2019. There’s no doubt that there were labor challenges in every industry. We are not immune to that. But the team really found a way to overcome those labor challenges. Still post very strong numbers and occupancy is still very high. I’ll also add in with that 85% occupancy that also includes the two weeks of the Chatham fire, which really shut down the town of Jasper for about two weeks. So that had a material impact on overall occupancy. So at this point, the labor impact – there’s certainly a labor challenge, but I don’t see it having an impact on our rooms available or the occupancy. If we switch gears and talk about attractions, obviously the attractions are a little bit less labor intensive. But again, we were able to – in total see more passengers versus 2019 same period, even despite some of the labor challenges that are out in the market. We really we view ourselves as an employer of choice in the markets that we’re in having a lot of repeat seasonal workers coming back each year. And we think that’ll continue and give us a strength as we go into 2023.
Kartik Mehta: Perfect. Thank you very much. Appreciate it.
Steve Moster: Yes. Thanks, Kartik.
Operator: At this time, there are no further questions. [Operator Instructions] There are no further questions at this time. Steve Moster, I turn the call back over to you.
Steve Moster: Thanks, Austin. And thanks to everybody that joined us today. Look forward to updating you at the end of our fourth quarter and take care.
Operator: This concludes today’s conference call. You may now disconnect.